Operator: Ladies and gentlemen thank you for standing by. Welcome to the MKS Instruments third quarter earnings conference call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator Instructions) This conference is being recorded today Wednesday, October 22, 2008. At this time, I’d like to turn the conference over to Ms. Jonna Manes, Director - Investor Relations; please go ahead ma'am.
Jonna Manes: Thank you. Good morning and thank you for joining our earnings conference call. Earlier this morning, we released our financial results for the third quarter of 2008. You can access this release at our website, www.mksinstruments.com. As a reminder, various remarks that we may make about future expectations, plans and prospects for MKS constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995, Section 27A of the Securities Act, and Section 21E of the Securities Exchange Act. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in today’s press release and in the Company’s annual report on Form 10-K for the fiscal year ended December 31, 2007 and most recent quarterly report on Form 10-Q, all of which are on filed with the SEC. In addition, these forward-looking statements represent the company’s expectations only as of today. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. Any forward-looking statements should not be relied upon as representing the company’s estimates or views as of any date subsequent to today. Now, I will turn the call over to Leo Berlinghieri, Chief Executive Officer, and President of MKS.
Leo Berlinghieri: Thanks Jonna and good morning everyone. Thank you for joining us on the call this morning. I’ll give an overview of the third quarter, our growth strategies and outlook. Ron Weigner, our Chief Financial Officer, will review our financial results and guidance and then we’ll open the call for your questions. Despite an increasingly difficult environment, we generated third quarter results within our range of guidance. We continue to penetrate the high growth solar market and this progress reduced the impact of lower spending for semiconductor capital equipment in a cyclical downturn. Third quarter sales declined 8% sequentially to $157 million and non-GAAP were $0.18 per share. Our cash position remained strong. We generated $19 million in cash from operations and finished the quarter with $257 million in cash and investments. Demand for semiconductor capital equipment continued to soften in the third quarter as the industry faced challenges that included over supply in memory devices, lower spending by fabs and lack of foundry investment. Our sales to semiconductor OEMs declined 10% sequentially as the market conditions weakened. In this period of softer demand, we are focusing on solutions for next generation tools to make OEM and fab customer successful and increase our dollar content. Our position at key OEMs remains strong and we are pleased that several new products are performing well during customer evaluations. As you know technology transitions don’t stop during a downturn. Fabs face process challenges because smaller device dimensions require new materials in more layers of material. OEMs are looking for enabling technology to solve these challenges and we are providing this technology. For example, process contamination has a large impact on yield at smaller feature sizes. In 2008, we are seeing growing market acceptance of dissolved ozone for wet cleaning at feature sizes of 45-nanometer and below. Traditional chemical recipes for cleaning lead surface crystals that reduce yield. Dissolved ozone ensures a clean crystal-free surface that improves yield and it’s an alternative that is more environmentally friendly. Our liquid ozone systems deliver accurate high purity ozone concentrations for efficient reliable cleaning. Demand for our liquid ozone systems has gained traction every quarter in 2008 including the third quarter. Turing to our fab business in the quarter. Foundries have postponed capital equipment spending and a number of other fab projects have been delayed. We provide some capital equipment directly to fabs and foundries, in addition to upgrade spare parts and service, but the decrease in spending for capital equipment, our third quarter sales to these device manufacturers declined 15% sequentially. In other markets, our sales to the solar market grew by 27% quarter-over-quarter. At the same time, sales to thin film and flat panel display markets declined 11%. So, we saw a slight decline in the overall sales to non-semi markets in the quarter. I’m pleased with our success in penetrating the high growth solar market. Solar was our largest single market outside of semiconductors in the third quarter. It represented almost 25% of the non-semiconductor sales. Our solar sales grew to a record high of $17 million in the third quarter. We’ve already doubled our 2007 solar sales this year and we are on track for $40 million to $50 million in solar sales in 2008. We serve a broad base of over 100 solar customers and the list continues to grow as the investment in the solar energy gains momentum. Our customers range from pure play solar companies to semiconductor OEMs in fabs that are diversifying in to thin film solar processes and demonstrating process repeatability. Our solar market strategy is like our strategy in semi, we focus on understanding process and customer requirements to see how we can apply or integrate our technologies to enable processes or improve productivity. We target to be the main supplier of process critical technology for customers who have the broadest market reach and growth opportunity in the processes we support and we sell to all customers in the market from emerging start-ups to established leaders. Our top solar customer in the quarter is one of the world’s largest solar cell manufactures. Earlier this year, this Asian customer awarded us a key design win for our RF power systems to manufacture thin film amorphous silicon solar cells. In the third quarter we continued to provide these power systems for this customer’s first solar fab which has just started mass production. This customer has announced plans to build a new solar fab by March 2010 to boost its output capacity fourfold and gain market share in thin film solar as demand for renewable energy grows. A large percentage of our solar sales or to OEMs to improved process efficiency on thin film deposition tools. For example, large solar panels are targeted for large scale applications, such as solar forms and these large panels are manufactured in large process chambers. We are seeing more thin film and amorphous silicon, OEMs adopt our ASTRON atomic fluorine generators to clean large solar panel chambers rapidly and efficiently. We also see an opportunity for this cleaning technology in crystal and silicon solar processes, where process chambers are smaller, but process costs are higher. We believed our atomic fluorine in cleaning technology can improved efficiency in reduced costs versus manual cleaning methods used today. We are excited about the expanding opportunities for cleaning with atomic fluorine generators in the solar market, just as we are seeing the dissolved ozone technology in the semiconductor manufacturing. DLI estimates that solar equipment market could grow at 36% from 2008 and 2010 and thin film processes were grow faster than crystal and silicon processes. Solar cell production is shifting to thin film from crystal and silicon to reduce cost per watt and make solar energy competitor. Independent market research confirms that amorphous silicon thin film is the fastest growing solar process with the forecasted 63% growth rate in the same two-year period. Our dollar opportunity is highest in amorphous silicon and three to four times greater than in crystal and silicon, because we can leverage more of our semi-technology and adjacent thin film solar process. If solar continues to grow as forecasters predict we currently estimate our solar business could reach $125 million to $150 million by the end of 2010. Before we turn to the outlook, I want to talk about cost reduction actions we have taken in the current environment. With declining semiconductor industry demand, we do reduced discretionary spending and took up week shutdown has planed. As the environment grew more challenging in the quarter we took additional actions including a workforce reduction and salary reduction for executive officers and directors. Turning to the outlook, given the current challenging macro environment, we expect continue to weak demand for semiconductor capital equipment and lower overall sales to non-semiconductor markets. Therefore, we expect our fourth quarter sales could decline in range from $130 million to $140 million, with income above breakeven. We will take two weeks of shutdown over the holidays. We are continuing review our cost and we will do what is prudent to reduced costs in this uncertain environment, without risking key opportunities for growth. We remain quite optimistic about our long-term growth opportunity and as our technologies continue to gain acceptance in semiconductor solar and other markets. Now I’ll turn the call over Ron to discuss our financial results and expand on our guidance.
Ron Weigner: Thank you, Leo and good morning everyone. Third quarter sales of $157.4 million decreased 8% sequentially, primarily a result of continued weakness in the semiconductor equipment market. Sales to other markets included 27% sequential increase in sales to our solar customers, but this was offset by lower sales to flat panel medical and other non-semi markets. Sequentially sales to OEMs decreased 10%, sales of semiconductor fabs decreased 15% and sales to other markets decreased 5%. Third quarter GAAP net income was $6.8 million or $0.14 per share, compared to $9.2 million or $0.18 per share in the second quarter of 2008. Non-GAAP net earnings were $8.9 million or $0.18 per share, compared to $10.5 million or $0.21 per share in the second quarter of 2008. In the third quarter sales of non-semiconductor markets were sales to contract manufacturers of key semiconductor OEMs decreased 32% sequentially to 3% of sales. As result of continued softening and an outlook for slower than expected recovery, we reduced our headcount in the third to 2,547 people. Third quarter gross margin decreased sequentially to 40% from 41.2%. During the quarter, we size direct labor headcount to reflect the lower sales volume, the sequential change of gross margin primarily reflects the effect of product mix, the fixed volume cost being a higher percentage of sales. As result of headcount reduction a one-week shutdown and reductions in debt discretionary spending, our total operating expenses decrease to $53 million. R&D expenses decreased $1.1 million sequentially to $19.5 million, and SG&A decreased $1.6 million sequentially to $33.5 million. Also during the quarter, we sold unrecognized the gain of approximately $500,000 on securities previously written down. Currently we do not own any other securities that we believe would be subject to an impairment and fair value. Our normalized tax rate for the third quarter was 23%, not including the benefit of recently extended federal R&D credits. The effect of the retroactive active credit will be reported in the fourth quarter. Effective tax rate for the third quarter was 31%, as a result of discrete items related to statue limitation expirations and discrete items related to state tax credits. We continue to generate cash from operations we sold $19 million in the quarter. Cash and investments decreased by $3 million to $257 million or $238 million net of debt. The primary use of cash was for stock repurchase, during the quarter we purchased approximately 616,000 shares for $13.8 million in cash at an average of $22.36 per share. Actual shares outstanding were 49.1 million shares as of September 30. Since our two year 300 million share back program was authorized on February 12th, 2007. We have repurchased approximately 10.4 million shares for approximately $217 million at an average price of $20.76 per share through September 30, 2008. We expect to continue to generate cash and to be opportunistic about the future use of cash. We will continue to evaluate the best use of cash as we consider the business outlook and other factors. Day sales outstanding were 60 days and we decreased the inventory in this quarter by $10 million and inventory returns increase to 2.7 times. Capital expenditures of $3.8 million in quarter are primarily for test equipment and leasehold improvements. Depreciation totaled $3.6 million for the quarter. Major semiconductor OEM customers have estimated, the semiconductor capital equipments spend could be down as much as 35% in 2008. Our strategy has been offset the cyclical of the semiconductor market, by participating in high growth non-semi markets and as a result of this, we estimate that our sales will decrease approximately 16% in 2008 assuming the midpoint our fourth quarter guidance. We estimate that our 2008 sales other markets could be between $280 million and $290 million, which is an increase of about 90% since 2005 and 13% increased compared to 2007. Looking at the fourth quarter, we believe that the demand outlook will continue to soften and we estimate the sales could range $130 million to $140 million. As Leo mentioned, we are taking two weeks of shutdown in the fourth quarter and we are taking continued actions to reduce our deferred non-essential spending. The timing of a turnaround for semi capital equipment is uncertain at this time. We are closely monitoring current and expected future revenue trends and we’ll take prudent actions to control the costs. We continue to size our direct labor capacity for the expected lower sales volume. We expect the gross margin could range from 38% to 39% at these sales volumes. In current time, we expect operating expense will decrease in the fourth quarter and could range from $50.7 million to $51.7 million. We expect R&D expenses could decrease, it range from $18.7 million to $19.1 million. SG&A expenses will decrease and could range from $32 million to $32.6 million. Amortization of acquired intangible assets as estimated $2 million. Debt interest income for the quarter is estimated approximately $1 million. As I mentioned income tax in the fourth quarter will include the benefit of the expansion of the Federal Research and Development Tax Credit for 2008. We estimate that our normalized tax rate for Q4 will be approximately 23%. GAAP income tax expense for the fourth quarter will include the full year benefit of the R&D credit extension for 2008 of approximately $2.6 million. Therefore, we estimate that our actual tax expense for Q4 could range from benefit of $3.4 million at the low-end of the guidance to a benefit of $1.8 million at the high-end of the guidance. We estimate that the credit will reduced our normalized rate for 2008 by 2% to approximately 27%. Given these assumptions, fourth quarter GAAP net income could range from $0.5 million to $4.5 million or $0.01 to $0.09 per share based on 50 million shares outstanding. Fourth quarter non-GAAP net earnings could range from approximately breakeven to $3.5 million or $0.00 to $0.07 per share. Now this concludes our discussion and will now take your questions.
Operator: (Operator Instructions) Your first question comes from Jay Deanha - JP Morgan.
Jay Deanha - JP Morgan: You guys continue to run a tight shift and nice job in solar. Leo, since the end of these September quarter last couple of weeks or so, have you seen any change in turn it all stabilization and the forecast are continued weakness in the forecast from semi and, I was kind of shock at that percentage decline in your contract manufacturing business to semi OEMs that was down 37% in the quarter. If you think you’re getting that point now where you’re sort of looking at kind of maintenance level equipment demands of that the shipments to the semi OEMs can sort of stabilize in 1Q versus 4Q or is it still slippery, too hard to tell.
Leo Berlinghieri: Jay, thanks for the comments. I think it’s too hard to tell so far. It’s changed so far each quarter and I don’t think anything has stabilize enough that, we can get some kind of indications of what’s going to happen beyond this quarter yet. I think that on the contract manufactures one of the things that we commented on our few of the calls is that, when there been questions around inventory and things like that. I’ve always mentioned that the contract manufacturers usually wildcard, if you know as the equipment companies changed their bill schedules they need to consume inventory, if we’re dealing directly with them we have that adjustment, if we’re dealing to contract manufacturer they have their adjustment of inventory. So they’ve always been the wildcard we’ve talked about, I suspect, I don’t have any specific number, but I suspect some of that is them adjusting their inventory. As you know they work on fairly thin margins and inventory can be a great cost to them. So, that’s my suspicion of what probably happen there. I don’t think there is anything that’s different in the dynamics of the business relative to the actual demand in the equipment. I think as far as, so far, obviously we’ve adjusted the guidance based on what we’ve seen is the trend. So, I think the guidance sort of reflects the answer to the question of, I think stabilizing or not, we’ve got a lower guidance in the previous quarter, which to us as it, it didn’t stabilized in Q3.
Jay Deanha - JP Morgan: Okay and then a follow-up, can you expect to continue to see double digit percentage sequential growth in solar for the next several quarters, in particular is amorphous silicon starts the transition intend on junction whether there’s four CVD cluster to fab instead of one?
Leo Berlinghieri: I think, there where we have, we’ve talked about the content being so much higher. A lot of it depends on each customer and the timing of their projects spend. If I think about it over sort of the long run, I don’t look at exactly a quarter beginning and end; my answer would be yes. We expect to see continued growth over the quarter but when you get to that larger quantity within a customer, the timing of one month could make a difference, whether its one quarter or the next in terms of when they need their product and I think that certainly there are new lines of production in amorphous silicon. So how well they can get those lines up in running, how long they can get that equipment in and utilize it, I think we will play roll in some of that timing, so I think in general we expect that the solar will continue to grow, but from quarter-to-quarter, some of that timing may effected here or there.
Jay Deanha - JP Morgan: Okay. Then the last one a big thin film customers you mentioned in Asia, what type of thin film was that?
Leo Berlinghieri: That was amorphous thin film.
Operator: Your next question comes from Brett Hodess - Merrill Lynch.
Brett Hodess - Merrill Lynch: Leo, as Jay mentioned you did have a very good cost control in the quarter and so I’m wondering as you look into the downturn here, given the gross margin guidance in the quarter. How much more room do you think you have, if revenue stay down in this low level or may be even a little bit lower to take cost down, and where do you think breakeven is now. Can you give us some color on that?
Leo Berlinghieri: You know Brett is given here in the guidance, we saying that our breakeven at present is about a $130 million and certainly, we have a list of action items that we could take to further reduced our cost structure. It probably wouldn’t be some of those are could have a fairly good impact, but it wouldn’t be appropriate to discuss those actions on this call, until we actually take any actions to further reduce cost.
Brett Hodess - Merrill Lynch: But you could take it lower? Thanks.
Leo Berlinghieri: We could take it lower than the 130 and right now our cash breakeven is above 120 in a quarter.
Brett Hodess - Merrill Lynch: Okay and then second question. When you look at your sales directly to the semi OEMs where you commented that you usually see some inventory correction impacting your thing slowdown, we have been in a weak environment for a quite allow, as your sense that there is still inventory reduction going at you direct OEM customers or you just seeing the actual demand pull at this point?
Leo Berlinghieri: I thought that was the case last quarter and I think lot of it depends on stabilization of their schedule. So what we where, if you remember what everybody was taking about last quarter was sort of bottoming of orders and stabilization of output our sales in the fourth quarter and then maybe some growth in the first quarter, it seems like a long time ago but if their schedules decreased, which I think there is some questions mark whether their schedules decreased in the fourth quarter and when they recover each time they decrease there is an opportunity to consume inventory and make that adjustment before things stabilize, where we get that little bump up. So we probably have more to go is my guess before that trickles backup again.
Operator: Your next question comes from Jim Covello - Goldman Sachs.
Jim Covello - Goldman Sachs: This is [inaudible] for Jim Covello. I have a couple of questions, first question is on Q4 revenue guidance. Just wanted to get a sense of how you think about it, in terms of your semi business versus the non-semi businesses?
Leo Berlinghieri: One of the comments was that obviously we expect semi to decrease fairly significantly. Ron had mentioned on the call that he thought also non-semi would go down as well and I think part of that is, we obviously have some higher growth non-semi areas, but we also have $280 million to $290 million per year of non-semi, there is large portion of that that could be effected by the macroeconomic conditions and so, with this environment that we’ve been in and I think our belief is that some of those projects will be delayed and there will be reduction there. So, overall we expect both semi and non-semi down, but obviously semi would expect to be down more.
Jim Covello - Goldman Sachs: And then the solar business is that I mean that you should continue to grow in next quarter?
Leo Berlinghieri: We would expected to continue to grow, but the comment I made on the previous question was that, as you get into some of these larger orders, which give you the ability to grow two and three times year-over-year. The timing of those orders can change by month or two in effect, whether it's in one quarter or the next.
Jim Covello - Goldman Sachs: Okay. That make sense, and just as you think about, your solar revenues over the next couple of quarters. Are those primarily coming from your existing customers? We know their build out plans etc. Are you expecting some new customers there as well?
Leo Berlinghieri: I’m just going to guess, that we have one of the most diverse and extensive customer basis in solar. We have over 100 customers in solar. So they probably had many that we don’t know about we’re not solar to, we are constantly trying to gain content on those solar tools with design wins getting our next generation tool and because of that we provide so many different products in the market. It’s hart to just say, we look at their bill plan, we know exactly what’s going to happen. There is the lot of customers that are solar and semi-customers or solar and some other technology customers and they don’t place their orders. Our forecast is that they place it somewhat in part by number or some estimate, so we can’t see it that way, but we are fairly confident unless something really happens in the overall solar market. We’re well positioned and really we’re in the mode of how do we get more share and how do we make sure of that. You get designed into those most significant customers and so we put a lot of our relationship and developments efforts too when we do have to do any kind of modification. That’s really the focus is really to make sure where on every tool of every solar customer.
Jim Covello - Goldman Sachs: Okay and then, I curious, have you seen sort of credit environment impact any of your customers ability to order and that sort of playing a roll in some other declines we are seeing in the orders.
Leo Berlinghieri: No, that hasn’t been an issue for us as far as credit of any of our major customers. Although, we certainly, mindful that it could be an issue and we are keeping an eye on that and as far as our suppliers is the same thing, one of the things that we have done to mitigate any issues with a lot of our suppliers is that, our objective is not being more than 30% of their business. So, I don’t think there is substantial risks there either for us.
Ron Weigner: I would also say that, if you look at the fact that, the primary declines in semi have been major OEMs. Those major OEMs have quite healthy balance sheet for cash. So, I wouldn’t anticipate even going forward at least with those major customers that credit crunch are tightening would have any impact. It may effects smaller customers probably, but I would see it affecting the majority of the customer base.
Jim Covello - Goldman Sachs: Can I just ask a quick housekeeping question on the tax rate? What should we be thinking about for 2009?
Leo Berlinghieri: The same as I mentioned 27% which is our rate for 2008.
Operator: Your final question comes from CJ Muse – Barclay’s.
CJ Muse – Barclay's: I guess first off on the solar front, great sequential number, but I think I recall you guys talking about at least 50 plus million and that you’re guiding kind of 40, 50 for the years, so I’m wondering, have you seen small push outs here that are moving out into first half of ’09, causing that reduction?
Leo Berlinghieri: No, CJ I thought we have been pretty consistent with that $40 million to $50 million number relative to revenue in 2008. So, I m not quite sure why we would have different impression, but that sort have been the number, we have put out at the beginning of the year and kind of stuck with it and with your second question is, we haven’t seen any push outs or anything like that.
CJ Muse – Barclay's: Okay. I guess, looking into 2009, in the current state of affairs for the FPD market, when you add up your solar in your FPD and I have got that running about a 100 million for calendar ’08, do you think that can grow in combination in 2009 and if so, what kind of magnitude do you see?
Leo Berlinghieri: Can you repeat the question again? I want to make sure I understand it correctly for the answer.
CJ Muse – Barclay's: I guess what I’m trying to get out is, with display likely weaken in next year, but solar growing. Can that two combined grow year-over-year in calendar ’09?
Leo Berlinghieri: Yes. I believe I think. We’ve talked about our flat panel business being somewhere in the couple to 3% or 4% depending on what quarter. So, I mean first of all, the second half of the year flat panel has been pretty much non-existent, so you are not a talking about a great 2008 versus 2009 in FPD, but you’re talking about a great solar year in 2008 and so I think you’d still expect the combination of those to grow.
CJ Muse – Barclay's: Okay. I guess just to follow that, what about for total non-semi considering the current macro backdrop impacting the non-solar businesses. Do you think that can grow in calendar ’09?
Leo Berlinghieri: If I knew that answer, I would be in the market at the right place.
CJ Muse – Barclay’s: And I guess the last question from me is, when you think about now the changing mix in your business and I don’t know if you want think about the next two quarters or looking out there all of calendar ’09 but how should we think about the impact there on your gross margins?
Leo Berlinghieri: I think what we’ve commented on the past is obviously the big semi OEMs, probably have the best pricing, because just by the sheer volume of what they buy and is probably a lower gross margins on the OEMs especially in semi but also your operating costs are lower there, the sales cost and those types of things you’re getting a lot more revenue out of the resources required. So I think there may be a tradeoff a little bit of gross margin, but you might end up a little higher operating expense. So I think at the end of the day, if you look at from an operating profit standpoint, I don’t think you would see a significant shift in that end of it.
CJ Muse – Barclay’s: Squeezing in one last question, in terms of the weakness in the semi business that you enjoyed in September in your guidance too in December, is that primarily foundry related in terms of the CapEx and utilization or is that across the board with all customers?
Leo Berlinghieri: I think its more in general and again our products are very difficult to pinpoint relative to a semi market segment or fab segment, because again we’re selling the same part. We don’t know whether that parts going to go a memory or whether its going to go to a foundry or whether its going to go to a logic device but I think in general it’s just been a reduction in spending and fewer customers investing.
Operator: (Operator Instructions) And there are no further questions at this time. I would like to turn it back to management for any closing remarks.
Leo Berlinghieri: Thank you. Thanks for joining us on the call this morning. Thank you for your interest and we look forward to seeing you at one of the several upcoming investor conferences. This concludes our comments.
Operator: Ladies and gentlemen, this does just conclude our conference for today. Thank you for your participation and for using ACT Teleconferencing, you may now disconnect.